Operator: Good morning. Thank you for standing by and welcome to Booz Allen Hamilton's Earnings Call covering Second Quarter Results for Fiscal 2018. At this time, all lines are in a listen-only mode. Later there will be an opportunity for questions. I'd now like to turn the call over to Mr. Curt Riggle.
Curt Riggle - Booz Allen Hamilton Holding Corp.: Great. Thank you. Good morning and thank you for joining us for Booz Allen's second quarter of fiscal 2018 earnings announcement. We hope you've had an opportunity to read the press release that we issued earlier this morning. We've also provided presentation slides on our website and are now on slide 1. I'm Curt Riggle, Vice President, Investor Relations, and with me to talk about our business and financial results are Horacio Rozanski, our President and Chief Executive Officer; and Lloyd Howell, Executive Vice President and Chief Financial Officer. As shown on the disclaimer on slide 2, please keep in mind that some of the items that we'll discuss this morning will include statements that may be considered forward-looking, and therefore are subject to know and unknown risks and uncertainties, which may cause our actual results in future periods to differ materially from forecasted results. These risks and uncertainties include, among other things, general economic conditions, the availability of government funding for our company services, and other factors discussed in today's earnings release and set forth under the forward-looking statements disclaimer included in our second quarter of fiscal 2018 earnings release and in our SEC filings. We caution you not to place undue reliance on any forward-looking statements that we may make today and remind you that we assume no obligation to update or revise the information discussed on this call. During today's call, we will also discuss the non-GAAP financial measures and other metrics, which we believe provide useful information for investors. We include an explanation of adjustments and other reconciliations of our non-GAAP measures to the most comparable GAAP measures in our second quarter fiscal 2018 slides. It's now my pleasure to turn the call over to our CEO, Horacio Rozanski. We're now on slide 3.
Horacio D. Rozanski - Booz Allen Hamilton Holding Corp.: Thank you, Curt. Good morning, everyone, and thank you for joining us. Before we begin, I would like to take a moment to acknowledge the tragic events in San Antonio yesterday. San Antonio is near and dear to the Booz Allen family with a large number of our staff and our clients in the area. And so our hearts go out to the victims and their families and the entire community. This morning, Lloyd and I are very pleased to report another quarter of strong financial results, capping six months of excellent operational performance at Booz Allen. In May we told you that we had a great deal of confidence about the future because of the firm's operational strength and strategic positioning in the market. Today, with our first half results in hand, we feel even more confident that we have created the conditions for sustainable quality growth over the long term. We have never been closer to our clients. We're anticipating client needs and advancing their missions. We're pivoting to where the most attractive opportunities are and we are winning new business. As always, we're addressing head-on any near-term challenges. We pride ourselves with managing the firm with discipline and foresight, so that each year we can achieve our annual objectives and build value for the future. I would like to focus my remarks today on two key drivers of Booz Allen's long-term performance, our differentiated position in the market and our capacity to attract talent. As you know, we launched our Vision 2020 growth strategy five years ago, because we understood that Booz Allen had to adapt to continue meeting client demands in an increasingly technology-centered world. Now we are positioned precisely where the market demand is greatest, the point where technology meets mission. Our clients recognize that solving their toughest problems requires new ideas and new technology, and because of our consulting heritage, mission know-hows, and advanced technology, they've turned to Booz Allen to develop and implement the right solutions. So, for example, we deliver secure Agile development at scale for large enterprises. We have enabled through early client adoption of our District Defend technology a step change in how information security is managed. We are improving intelligence analysis and collection with advanced data science. And with the acquisition of Morphick, which Lloyd will describe later on, we now offer clients an adaptive technology platform that identifies and stops cyber attacks. With this level of innovation, skill, and experience, our firm holds a competitive advantage. Booz Allen's differentiation is separating us from the pack and generating the industry-leading organic revenue growth that we currently deliver. Most importantly, we believe that our exceptional people, agility, and integration of capabilities create growth that is sustainable and will continue to accelerate. Now moving on to the other long-term performance driver that I want to highlight today, Booz Allen is demonstrating tremendous capacity to attract and retain people with the unique skill sets required to maintain our market position. In this second quarter alone, our head count increased by 771. We have long said that growing our talent base, both in number and in range of skills, is essential to our growth strategy. We could not be more pleased with the progress we've made. As of September 30, we have nearly 1,500 more people at Booz Allen than a year ago. We are prevailing in a very competitive market for labor because of what we offer the 24,000-plus women and men who work here; opportunities to do meaningful mission-critical work, to solve problems and push technology to new frontiers, to collaborate with a great diversity of colleagues, grow professionally, learn and advance. Finally, before turning the call over to Lloyd, I want to touch on one other topic, something that speaks to the purpose and values of our firm, which are also central to attracting and retaining clients and talent. As you know, since August our country has endured its worst hurricane season in years. The storms have affected hundreds of our employees in Texas and Florida, throughout the Southeast, and a few in Puerto Rico. What has been remarkable, though not surprising to me, is how the people of Booz Allen rallied to meet the challenge. I had the privilege to be in Houston to meet with the team a few weeks after Hurricane Harvey and was inspired by both their resilience and their service to the community. During the storm, several of our colleagues worked search and rescue and helped at emergency shelters. Afterwards, our office in Houston and San Antonio formed teams of volunteers to clean up flooded houses of colleagues and others. One of our client teams has worked around-the-clock managing the federal government's disasterassistance.gov website. Since late August, more than 4.5 million people have registered for disaster relief assistance through the site. At the Federal Emergency Management Agency, we have also provided technical assistance to evacuation planning, supported the deployment of emergency communication vehicles, and provided geospatial imagery and data to help define damage zones. And from across our firm, as far away as Asia and the Middle East, the people of Booz Allen contributed to a fundraising campaign for six organizations helping with disaster relief and recovery. Roughly $350,000 was donated in just five weeks between employee donations and a match from Booz Allen. I share these details not because it made a difference to our second quarter numbers, but because I believe the purpose and values demonstrated by our people during that time are absolutely central to our differentiation. They define who we are, they matter in the markets for both business and talent, and they are, therefore, critical to our success today and in the future. So with that, Lloyd, over to you.
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: Thanks, Horacio. I'll pivot now to our second quarter results and how they fit into our expectations for the rest of the year. As the numbers clearly show, we had another great quarter. Booz Allen continues to grow on an organic revenue basis, as well as in terms of capabilities, talent, and clients. We are capturing opportunities in every market we serve. And with a robust pipeline, record high backlog, and increased head count, it's clear that we are setting ourselves up for continued momentum. Furthermore, we have demonstrated our commitment to building shareholder value through not only consistent performance in revenue growth but also cash generation and capital deployment. Let me take you through the details. Please turn to slide 4. Revenue increases in the second quarter were primarily driven by continued strong demand from clients, which led to head count gains and increased direct labor. Revenue excluding billable expenses continues to accelerate. For the quarter, it increased 7.5% and total revenue was up 10.6%. Billable expenses remains at about 31% of revenue. As Horacio mentioned, we knocked it out of the park on hiring in Q2. One of our main areas of focus right now is moving our newest colleagues onto contracts as efficiently as possible, even as we maintain our momentum on hiring. The need for that focus is abundantly clear when you look at our backlog and book-to-bill. Total backlog is up 22% year-over-year to a new record of $16.7 billion. Increases span every category; 7.7% for funded backlog, 17.1% for unfunded, and 31.6% for priced options. At $3.6 billion, our funded backlog is bigger than it has ever been. Because of our second quarter coincides with the government's fiscal year-end, it is typically our strongest for bookings. Our Q2 book-to-bill at 2.7 times is our second highest ever. Moving to the bottom line numbers, our income and earnings benefited from revenue gains and improved contract profitability. However, we are experiencing some headwinds on our adjusted EBITDA margin. Specifically, billable expenses were higher than expected. There was increased spending associated with on-boarding a large number of new employees and we saw incremental higher legal expenses, as expected. Two of those factors resulted from our accelerating top line growth, but the headwinds still give us a reason to maintain come caution about the second half of the year. For the full fiscal year, we do not expect that all of our above planned top line growth will fall to the bottom line, even as we remain confident about the fundamental strength of the business and our performance vis-à-vis competitors. For the second quarter, operating income was up 7.5% compared to the same period last year and adjusted operating income increased 3.7%. Both were driven primarily by the factors I mentioned, revenue growth and improved contract profitability, partially offset by the increased spending. Adjusted operating income for fiscal year 2018 excludes the 2017 add back of $3.4 million in costs related to debt refinancing transactions. Net income for the quarter grew nearly 13% to $70.9 million and adjusted net income increased just over 3% to $71.3 million. EBITDA and adjusted EBITDA grew 7.7% and 5%, respectively, compared to the prior-year quarter due to the same factors that drove increases in operating income and adjusted operating income. Adjusted EBITDA margin was 9.2% and ADEPS for the quarter was $0.48. Let's turn to cash and capital deployment. I'm now on slide 5. In the second quarter, our cash generation remained strong. We saw an improvement in cash from operations over the previous quarter thanks to healthy conversion of revenue and an easing of delays at one of the government's main payment centers. Capital expenditures in Q2 were $16.5 million higher than the same period last year because of continuing leasehold improvements to update our office spaces. We found that making these updates helps us attract and retain the talent we need, and many of these leases allow for tenant improvement reimbursements after project completion or corresponding rent reductions. We are now projecting $70 million to $80 million in CapEx for the full fiscal year, and we still expect to convert about 100% of adjusted net income to free cash flow in this fiscal year. As Horacio and I have emphasized in the past, Booz Allen is committed to generating near- and long-term shareholder value through revenue growth, operational excellence, and effective capital deployment. We intend to use the strength of our cash generation and balance sheet overall as a meaningful value creation tools. We closed the quarter with a healthy cash balance of $330 million after paying approximately $25 million in dividends and repurchasing about 3.5 million shares. Year-to-date, our strong balance sheet has allowed us to deploy nearly $220 million to deliver value to shareholders in the form of regular dividends and share repurchases, plus announced our acquisition of Morphick. The acquisition, which closed last week, fits squarely into our strategy for growth in the commercial market, where demand for cyber as a managed service is rapidly growing. It is also consistent with our disciplined approach to acquisitions. We remain focused on tuck-ins in the areas of engineering, digital solutions, analytics, and cyber, technical capabilities that we fuse together with our consulting prowess and mission knowledge to create the best solutions for clients. Taken together, the regular dividend, share repurchases, and acquisitions demonstrate our commitment to near- and long-term value creation for investors, as well as our flexible approach to capital deployment. As we have said in the past, we deploy capital based on available capacity, market conditions, and opportunities for internal and external investment. We plan to continue this flexible capital deployment strategy. Our strategy has not changed. In support of this approach, our board of directors last week approved a $200 million increase in our share repurchase authorization. We now have the flexibility to repurchase additional shares worth up to roughly $300 million, as conditions warrant. In closing, let me move to our dividend announcement and guidance, which you'll see on slide 6. In recognition of our strong performance through September and our confidence about the future, the company announced this morning a regular dividend of $0.17 per share. It's payable on November 30 to stockholders of record on November 14. We are also affirming our guidance for the full fiscal year. We project that revenue will grow 4% to 7%, with an expectation that we will reach the top-end of that range, given our excellent first-half performance. Our bottom line guidance also remains unchanged, due primarily to the uncertainties and headwinds I described earlier. We expect diluted earnings per share to be $1.80 to $1.90 and adjusted diluted earnings per share to be $1.83 to $1.93. I'll conclude there and turn it back to Curt to kick off Q&A.
Curt Riggle - Booz Allen Hamilton Holding Corp.: Great. Thanks, Lloyd. And, Candice, if you could give some instructions for the Q&A and launch us off on that process.
Operator: And our first question comes from Edward Caso of Wells Fargo. Your line is now open.
Edward S. Caso - Wells Fargo Securities LLC: Great. Good morning. Congrats on the results here. Can you help us dissect the organic portion of both your revenue growth and your head count growth? Thanks.
Horacio D. Rozanski - Booz Allen Hamilton Holding Corp.: Ed, good morning, and I guess I'll start. The good news is on both we are very much on strategy. So the types of things that we are seeing, uptake on other things that Lloyd and I both mentioned on the call around digital services, around cyber, around engineering and solutions, roughly two-thirds of the hires that we are talking about have a technical background. More than half of them have a security clearance. So these are the people that we need to continue to drive our growth rate. The other element that we talked about on the last call and continues is that at the broadest level in terms of our largest markets that we serve, most of our business is growing, and so we see growth across defense, across our intelligence business, across our civil business. Strong double-digit growth in global commercial. So the portfolio is growing across the board, and the same can be said when you look at the pipeline and you look at backlog and the book-to-bill and everything else, it is pretty broad-based.
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: And I would just add that our growth is really a function of client demand, as Horacio just mentioned. The head count growth, when you look at – we had 300 or so folks join us with the Aquilent acquisition, so 1,200 on top of that. Our acquisition really represents, in the case of Aquilent, less than 2% of the growth that we're experiencing. And this is across the entire portfolio. Clearly, defense and intelligence markets are off to a great start. We're ever well-positioned with our clients, and that gives us a lot of optimism about the entirety of the fiscal year.
Edward S. Caso - Wells Fargo Securities LLC: Great. Thank you. My other question is around the legal fees. Is it – sort of order of magnitude, if meaningful, is it $0.01, $0.02 a share drag? And also I noticed in your 10-Q this morning there was a mention about the SEC now being noted in the litigation section. Is that sort of normal course of business, or is this something we should be focused on?
Horacio D. Rozanski - Booz Allen Hamilton Holding Corp.: Thanks for the question. Very much normal course. The DOJ investigation is continuing. And this morning we don't have a substantive update, as it's common in matters like this and you've seen it in the Q. And we've been in contact with other agencies and that includes the SEC. They recently informed us of an informal investigation, and we believe that covers the same subject matter that the DOJ is looking at. And, of course, we have an excellent legal team and are continuing to cooperate with the government to bring all of this to an appropriate resolution. And because we're in the early stages really on today's call, that's pretty much all we are prepared to say on this topic. And what we really want to do today is spend as much time as possible describing to you the business, the strategy, and where we're going.
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: Ed, on the legal costs portion of your question, we're not going to comment on costs relating to the DOJ investigation at this time.
Operator: Thank you. And our next question comes from Tim McHugh of William Blair. Your line is now open.
Trevor Romeo - William Blair & Co. LLC: Hi. Good morning, guys. This is actually Trevor Romeo on for Tim today. Thanks for taking the questions.
Horacio D. Rozanski - Booz Allen Hamilton Holding Corp.: Good morning.
Trevor Romeo - William Blair & Co. LLC: Good morning. First of all, I guess, just on the billable expenses in this quarter, I think they were the highest figures of percentage of revenue that we've seen in a while. Could you just give us any more detail on what's driving that higher and do you view 31% as more of a one-off this quarter or is that kind of closer to the sustainable level going forward?
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: Thanks, Trevor. We are still seeing billable expenses for the year being in the range of 29% to 31%. They were higher this quarter, primarily due to some of the small business set asides that were tied to our defense market. It's really difficult for us to estimate billable expenses quarter-to-quarter, so the range from our perspective still remains 29% to 31%.
Trevor Romeo - William Blair & Co. LLC: Okay. Got it. Thanks. And then, I guess, as a follow-up, your growth has been really strong lately. But if you had to sum up, I guess, the biggest challenge to maintaining growth going forward, is it kind of being able to continually hire enough people to support the backlog or is it risks to the budget environment or, I guess, what would you say is the biggest risk to growth going forward? Thanks.
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: Yeah. From my perspective, it remains in a very challenging labor market that we attract the candidates – source and attract the candidates that have the technical capabilities that so far this year we've been successful in doing. As I've said in previous calls and in conferences, that really is the governor on where we will end up in our forecasted range for the year. And that – assuming that we're still going to maintain great delivery, get closer and closer to our clients' mission remains the challenge that day-in, day-out we feel we're successfully meeting that challenge.
Operator: Thank you. And our next question comes from Cai von Rumohr of Cowen & Company. Your line is now open.
Cai von Rumohr, CFA - Cowen & Company, LLC: Yes. Thank you very much. So, Morphick, could you give us some color how big is it, how much did you pay, how profitable is it?
Horacio D. Rozanski - Booz Allen Hamilton Holding Corp.: Let me start on the strategic front, and try and frame it this way. We did not buy Morphick as a financial play. We bought it as a strategic play. We see a significant opportunity as we continue to delve into managed services, especially in our commercial markets to start, but we believe this is an opportunity coming to all of our clients, because things like APT hunt, very sophisticated pen testing and red teaming, the ability to scan networks using both data science and machine intelligence, these are the things clients want to buy and buying them on a managed services basis is one of the ways that we see evolving. And so we were in the process of building out our own capability. And we found in Morphick the ability to leapfrog this platform building approach by a couple of years, and so that's why we did it. In terms of the financials, they're really not material to our financials and we're not going to be disclosing any details around it, because it's a small acquisition with great strategic potential.
Cai von Rumohr, CFA - Cowen & Company, LLC: Okay. Thank you. And you didn't change your official guidance and yet with the type of organic growth you had this quarter, the only way you stay under 7% is if you decelerate at some point in the second half. You didn't change your share count, and yet you bought 3.5 million shares. So maybe comment on why you didn't kind of – and it looks like the tax rate would be more toward the lower end, given what you booked this quarter. Maybe comment with a little more color, if you could, on the guide. And you mentioned the revenues toward the top end, but kind of some of the other elements.
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: Sure. As your question has implied, we're very pleased with the strong first half of the year that we're having. And in my prepared remarks, we do see ourselves ending up in the top end of that range. And given the fact that we've been able to onboard 771 folks so far this year, that gives us a lot of confidence. When you look at the bottom end of the range, again, in my prepared comments, there are a few headwinds where we don't expect it to come completely down to the bottom. That being said, the range that I forecasted for the year still remains and we feel we're going to end up within that. I don't want to speculate on a quarter-by-quarter basis as to what changes when we get further into the year. And we feel that it's appropriate to change the guidance, we'll do so. But, right now, we're very happy with our performance for the year. As I also mentioned, at the beginning of this fiscal year, we do see more uncertainty with the second half of the year, but we're off to a great start and we are intending for that to continue.
Operator: Thank you. And our next question comes from Jon Raviv of Citi. Your line is now open.
Jon Raviv - Citigroup Global Markets, Inc.: Hi. Good morning. Question, just following up on that line of thought. Just can you outline some of the headwinds more specifically you see in fiscal second half? For instance, where is the top line not flowing to the bottom line? Is it more on the billable side where it will be on the higher end of that 29% to 31%? Is it some SG&A coming up or legal fees and just where is the top line not flowing to the bottom line?
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: Yeah. As I said in my prepared remarks, billable expenses were higher this quarter, so that gives us some caution, not knowing exactly where they will end up, though we do expect it to be within the 29% to 31%. Onboarding, the costs associated with onboarding the number of people that we have, it takes time to get them deployed and utilized that are at our targeted rates. And so, that is also one of the headwinds that we're grappling with. And then, as in the previous question, we're not going to comment on legal costs today but they're elevated, as expected.
Jon Raviv - Citigroup Global Markets, Inc.: Got it. And then following up on that, can you talk a little bit about the margin profile of the backlog? Sometimes we see when backlog growth really accelerates or sales growth accelerates, there is a tendency to see some lower margin for various reasons. What are you seeing in terms of margin profile in your backlog and new business you're winning? And can you just wrap into there the notion of cost plus versus fixed price, I notice that cost plus is up a little bit. And then, one more, how does that all fit into the mid-9s that you talked about in this period of accelerating growth when it comes to adjusted EBITDA margin?
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: Sure. When you look at our backlog, overall it is up a very healthy 22%. The fixed price portion of that has also increased. And so, on a margin basis, we are optimistic that we're going to see some improvement in that over time as that backlog converts. In terms of the overall margin profile, fundamentally, we believe this is what growth looks like. We're focused on creating long-term value for our shareholders. We're growing the top and the bottom line, and we're also generating and deploying cash. And so my comments in the past about being able to achieve this growth, targeting the mid-9s is still what we want to move out with going forward. We believe that's going to give us accelerated growth at our revenue ex-billables. And I think over time, we'll be able to expand on that margin, given the three forms of mix shift that I've spoken to in the past, contract type, global commercial market, and then also the type of work that leverages the technical capabilities that we've been investing in over the past five years.
Operator: Thank you. And our next question comes from Ronald Epstein of Bank of America Merrill Lynch. Your line is now open.
Kristine Tan Liwag - Bank of America Merrill Lynch: Hey. Good morning, guys. This is Kristine Liwag calling in for Ron. Can you discuss your progress in pursuing global commercial clients? From my understanding, it's historically been a higher margin than the rest of your business. And a follow-up to that is for your mid-9s margin target, what is your embedded expectation for growth in your commercial business?
Horacio D. Rozanski - Booz Allen Hamilton Holding Corp.: So let me start. We are very, very pleased with the growth in our global commercial business, both our presence here and in the MENA region. And our initial forays into Southeast Asia and Singapore are all growing well. They're all finding the right kinds of clients around a cyber-first strategy. We feel like we are not just posting good numbers, but creating a portfolio of blue chip clients that will be the key to future growth. We are attracting talent. And I think it is in some ways also allowing us to retain talent in our – for government business that sees an opportunity to travel back and forth, and both learn things there that are of great value to our government clients, but also enhance our careers and have some variety without having to leave Booz Allen. So, across the board, it is a very good story with good economics. It is a small part of our business, as you know, and so it's not the largest contributor to our financial success right now, but it's both doing very well and we expect it to continue to contribute.
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: On the economic side, we see 2.5 to 3 times better margins commercially than we do with our federal clients. And over the past two years that business has grown 22% and 23%, respectively. We're very excited about that growth continuing. The Morphick acquisition is an example of our confidence in that. And so, at roughly 2.5 times percent of the entire portfolio, we want to continue to invest and grow that business.
Kristine Tan Liwag - Bank of America Merrill Lynch: Great. And a follow-up to that. With the higher book-to-bill in the quarter and your accelerating growth in your backlog, does that factor in another 20-plus percent growth in commercial for the year?
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: No, I wouldn't subscribe to that math. Our commercial business be it the smallest part of our portfolio, given the historic growth that we've seen, we still feel very confident about its prospects going forward. The majority of the backlog is due to our federal business, and it excludes about $280 million in protests. So we don't include that in the backlog, but the majority of that is due to our federal markets.
Operator: Thank you. And our next question comes from Krishna Sinha of Vertical Research Partners. Your line is now open.
Krishna Sinha - Vertical Research Partners LLC: Hi. Thanks. So, historically on the share repurchase, when you're more – I guess when your shares are more fully valued, you kind of back away from share repurchases. Obviously this quarter you did a lot more as the share price was depressed. But now your share price is back up over $38, so can you just talk about how you're going to prioritize that going forward from this point?
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: Sure. Our capital deployment strategy, as I mentioned in my prepared remarks, is really based on a disciplined flexible strategy. And with that, we have an addition of share repurchases, acquisitions, a regular recurring dividend, and when appropriate, a special as a part of that strategy. Over the past quarter, we did purchase 3.5 million of shares, or $120 million. And we asked the board to authorize $200 million, bringing our total amount to $300 million. That we will utilize as market conditions dictate, so again, a flexible strategy. The share repurchase authorization is at a level that provides us that flexibility and we believe creates near and long-term value creation for our shareholders.
Krishna Sinha - Vertical Research Partners LLC: Okay. And then on the margin side, if billables are expected to remain at 29% to 31%, sounds like ex your legal expense, your cost of revenue is going to remain somewhat stable. If I just look at this as from a labor perspective, you're adding a lot of head count, which I think increases your direct labor, so that should be an accelerant to your margins. Is that – am I thinking about the math right or are you guys deploying more solutions, and therefore direct labor on contracts is not a one-to-one correlation with your margin anymore? Can you just talk about that dynamic, like, how does the head count increase translate to margin?
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: Sure. You're close. It's really the timing and the cost associated with the new labor that we're bringing on board. And with 4,800 contracts, each of which have unique circumstances, how quickly we can deploy and utilize the folks coming on board, there is a timing of the costs. And so with that, that is really what is impacting the margin.
Operator: Thank you. And our next question comes from Rob Spingarn of Credit Suisse. Your line is now open.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC: Good morning. Horacio and Lloyd, with this big rise in backlog, just a couple of questions. You've really been (37:04) in backlog and revenue (37:08) variability.
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: I'm sorry, Rob, you broke up when you were asking your question. Could you repeat it?
Robert M. Spingarn - Credit Suisse Securities (USA) LLC: All right. Let me try that again. So, you've got such strength in your backlog expansion, your revenue expansion, I understand some of that's billables, but – and maybe a little bit of nonorganic, but at the end of the day you're at the high end of the range in the industry. And I want to understand a little better why we see such variability across companies. Some guys are flat, a couple are still negative on organic growth or in the low single digits, and you're much stronger than that. And as a follow-up to that, is there any element of Army readiness or, frankly, any readiness campaign across the services as we think about Russian deterrence, North Korea missile defense in general, are you supporting that agency more? Are there are specifics here that you can throw to your higher growth? Thank you.
Horacio D. Rozanski - Booz Allen Hamilton Holding Corp.: Love that question, I have to say. And I don't want to comment on the industry. Let me talk about us. We started five years ago with this premise that the technology revolution was going to have a significant impact on our clients. And so through Vision 2020, we began to invest in innovation. We began to invest in advanced capabilities. We looked for ways, and it took us awhile to make sure that that was tightly coupled and married to our traditional knowledge of our clients' missions, our client relationships, and our consulting expertise. So this was not to be an appendage. It was to transform the way we position ourselves in the market and with our clients. Because of that, we did not focus on very large acquisitions. We focused on tuck-ins, as Lloyd talked about, that actually gave us better capability faster. So we went from, for example, a budding presence in Agile development to being able one of the few people who can do secure Agile development at scale into the hundreds of Scrums in a program if we need to fill those. Those are the things that we believe are driving our growth. When you delve into our backlog and you look at specific programs, we're winning work now that is more differentiated than it's been really in my career at Booz Allen. And again, this is because we are driving the strategy. We've been very disciplined for the last five years at doing that. We've begun now to complement that with enhancements to our employee value proposition, recognizing that the people that we're bringing in are also highly sought after not just in our industry, but outside our industry. And it's creating this really great energy inside the firm, and success breeds success, as you know. So we're very optimistic. That's why we can talk about accelerating growth. That's why we can talk about differentiation. That's why we can talk about adding unique value to our clients. And so I think that's what drives where we are and where we're going to be. As both Lloyd and I have alluded, growth comes with its own set of challenges. This market isn't a perfect market and we're not by no means a perfect firm where everything clicks all of the time. But on the whole and on the main, I could not be prouder of the work that our colleagues at Booz Allen have done to get us here and where they can take us.
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: I'd like to just foot stomp a couple other points. We feel that we've got 24,000 salespeople. They are with our clients. They get real-time information about our clients' missions, agendas, what they would like to do, and we feel that we skate quicker to the puck than most. And we invest in our people. So, through our Chief Personnel Officer, Betty Thompson, the programs that we have in place to cultivate, train, develop, we believe provides us with an excellent workforce that really provides value-added offerings and support. So my biases are really toward our people and the fact that we seek to find the best people, deploy the best people against our clients' most important missions.
Operator: Thank you. And our next question comes from Rayna Kumar of Evercore ISI. Your line is now open.
Rayna Kumar - Evercore ISI: Good morning. Can you quantify...
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: Good morning.
Rayna Kumar - Evercore ISI: ...pricing trends across your businesses and...
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: I'm sorry, Rayna, you're fading in and out.
Rayna Kumar - Evercore ISI: Could you hear me better now?
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: Yeah, I can. Thank you.
Rayna Kumar - Evercore ISI: Can you quantify pricing trends in the second quarter across your businesses, and then how we should think about pricing for the remainder of the fiscal year?
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: Generally speaking, pricing is slightly moving away from the low price technically acceptable environment we found ourselves in in the past couple of years. I think that's true across most of our markets. So there has been a modest improvement in pricing. We feel that clients in the current environment are that much more sophisticated in aligning the appropriate pricing with the capability support that they are seeking, and that has played to our advantage. That being said, it's still a very competitive environment and every single bid that we submit certainly has a degree of pricing pressure to it. But in general, we have seen pricing begin to improve a bit.
Rayna Kumar - Evercore ISI: That's very helpful. Thank you.
Operator: Thank you. And our next question comes from Sheila Kahyaoglu of Jefferies. Your line is now open.
Sheila Kahyaoglu - Jefferies LLC: Hi. Good morning, everyone.
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: Good morning.
Sheila Kahyaoglu - Jefferies LLC: I kind of wanted to follow up on revenue growth, because it has been so stellar versus the competition. So maybe if you could give us a bit more specifics on what's driving it, what agencies, or are you seeing that you're adding more scope on existing contracts or adding more volume with existing agencies that you've done good work for? So if you could elaborate on that in some sort of way.
Horacio D. Rozanski - Booz Allen Hamilton Holding Corp.: Sheila, I appreciate the question. The truth of the matter is our growth is pretty broad-based at this point. Not exactly everywhere at the same pace, but we run a portfolio. And so, on any given quarter, any given year, the growth will come from slightly different places. But at the end of the day, as I said before, this isn't, in our view, about, okay, we're supporting this one agency and we're doing great here. This is about, we have built a unique set of capabilities and market positions that we actually can drive successfully across all of our business. So, to give you an example, the Veterans Affairs has been a place that has embraced Agile development earliest. In fact, you will remember, we made an acquisition in Charleston that was really centered on that premise. The really exciting piece is that then we took that understanding, that capability, and a lot of that talent, and we're presenting that across all of our markets, especially in the defense market some agencies have not moved as fast or as agile as perhaps we would like them to or they would like to. And so having these capabilities available, having, as Lloyd said, 24,000 people who both understand what we do and understand what the clients need and make the match, not just around big contracts but at a tactical level, sometimes things start as two and three people, and then they become 20 or 30 or 200 or 300. And so that's really what's underlying a lot of this growth is developing these capabilities, hopefully, ahead of the market, and then having the ability to systematically move them through our client base to the places that they're most needed and where they don't exist. And so that is vintage Booz Allen. I don't know that we are inventing anything there. But I do believe that that is hard to do and we do it particularly well.
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: With 4,800 plus contracts that comprise our portfolio, we believe we're winning more than losing, and at any point in time it changes. But year-over-year it has been growing. I think the other side of the coin is our clients. Our closest clients range between GS-15 and senior executive service too. They are long tenured career civil professionals, and we have over many years developed relationships, cultivated relationships with them. So with the vagaries of political change and whatnot, our business we feel is resilient against that, and at times of change, historically, we've been able to do very well. But to just echo Horacio's point, it's across the entirety of our portfolio. It's not concentrated to any one market or any one contract. We tend to look at a very diverse portfolio that we try to optimize.
Sheila Kahyaoglu - Jefferies LLC: Thank you. And just one more, if I may. In terms of the labor comments earlier, can you just talk about is there risk from tightening in the market? Are you seeing any sort of wage inflation?
Lloyd W. Howell, Jr. - Booz Allen Hamilton Holding Corp.: We are seeing wage inflation. You can't go after highly skilled, high-demand candidates and not experience that. That's maybe our first indication that we're where we want to be. We're also seeing back to my previous pricing comments, our clients recognizing that. They want access to the same type of labor pool that we do. So whether it's cyber security, digital or analytics, they are now willing to move modestly away from low price technically acceptable. But every day we're in a dog fight against folks in sector, as well as in other industries for this type of talent.
Sheila Kahyaoglu - Jefferies LLC: Thank you.
Operator: Thank you. And our final question comes from the line of Carter Copeland of Melius Research. Your line is now open.
Carter Copeland - Melius Research LLC: Hey. Good morning, gentlemen. Nice results. Just two quick ones just on talent. I wondered, A, if you could speak to trends you've seen in attrition just thinking about the gross uppers and downers behind the head count move? And then the second one relates to the comments around getting talent on-boarded on to the organization on to new contracts. Are you seeing anything unique there that is related to your comment or is this – just are sort of typical process of getting new heads on contracts? Thank you.
Horacio D. Rozanski - Booz Allen Hamilton Holding Corp.: Hey, Carter. Welcome back. On both of those questions, first of all, we are not seeing anything unique in terms of putting people on contract. The reality is, we did onboard a lot of people. And as Lloyd pointed out, there is a time lag between getting them in the door and getting them to their target billability. And so that's what we're observing, that is what growth looks like, and it's something we both are very familiar with and very comfortable with. We are continuing to aggressively look for the right kind of talent in the market. And when we find it, we are not going to be shy, because we know, and when you look at our backlog and everything else, I think we – you can feel confident that there's enough work for them to do, albeit through a ramp-up period. On attrition, we feel good about the environment inside Booz Allen. We don't comment on the specific numbers. But more importantly, we started over the last 18 months to reemphasize our purpose and values, to have a lot of internal conversation about how each part of our business contributes to that, about how each piece of work that we do really empowers people to change the world. And that has unleashed a level of energy internally that we haven't had in a while. And then, obviously, growth helps. It's always a lot more fun when you're growing, and that allows us to bring in new people. In fact, we've talked about, in the past, that a large percentage of our hires come from employee referrals. And when you get unique talent that, for example, is admired on campus and they're excited they're coming to Booz Allen and they're telling their friends how great it is here, that does not hurt our ability to bring in additional talent and to repeat a bit of a virtuous circle. So, on the talent front, we can't stand still. It's a very competitive market, but I really love where we are.
Carter Copeland - Melius Research LLC: Great. Thanks, guys.
Horacio D. Rozanski - Booz Allen Hamilton Holding Corp.: Welcome.
Operator: Thank you. And that concludes our question-and-answer session. I'd like to turn the conference back over to Horacio Rozanski for any closing remarks.
Horacio D. Rozanski - Booz Allen Hamilton Holding Corp.: Thank you very much. Thank you all for your questions and for joining us today. I would like to briefly close first by recognizing the leaders at Booz Allen, who are really making all of this happen and who are putting themselves out there with clients and with our people all the time to drive both our purpose and our values, and ultimately our success as an enterprise. And also recognize the 24,000 people of Booz Allen, because it is their hard work and their dedication that drives high performance, and that ultimately will allow us to empower people to change the world. Lloyd and I are truly privileged to call them colleagues and to come brag about them and represent them on this call each quarter. So with that, thank you again, and have a good day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone, have a great day